Operator: Good morning, ladies and gentlemen, and welcome to the Hilltop Holdings First Quarter 2025 Earnings Conference Call and Webcast. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question and answer session. If at any time during this call you require immediate assistance, please press 0 for the operator. This call is being recorded on Friday, April 25, 2025. I would now like to turn the conference call over to Mr. Matt Dunn. Please go ahead.
Matt Dunn: Thank you. Before we get started, please note that certain statements during today's presentation are not statements of historical fact, including statements concerning such items as our outlook, business strategy, future plans, financial condition, credit risks, and trends in credit, allowance for credit losses, liquidity, and sources of funding, funding costs, dividends, stock repurchases, subsequent events, impacts of interest rate changes, as well as such other items referenced in the preface of our presentation are forward-looking statements. These statements are based on management's current expectations concerning future events that, by their nature, are subject to risks and uncertainties. Our actual results, capital, liquidity, and financial condition may differ materially from these statements due to a variety of factors, including the cautionary statements referenced in the preface of our presentation and those included in our most recent annual and quarterly reports filed with the SEC. Please note that the information presented is preliminary and based upon data available at this time. Except to the extent required by law, we expressly disclaim any obligation to update earlier statements as a result of new information. Additionally, this presentation includes certain non-GAAP measures, including tangible common equity and tangible book value per share. A reconciliation of these measures to the nearest GAAP measure may be found in the appendix to this presentation, which is posted on our website at ir.hilltop.com. I'll now turn the call over to Jeremy Ford.
Jeremy Ford: Thank you, Matt, and good morning. For the first quarter, Hilltop Holdings Inc. reported net income of $42 million, or $0.65 per diluted share. Return on average assets for the period was 1.1%, and return on average equity was 7.8%. PlainsCapital Bank demonstrated its ability to maintain core customer balances while repricing interest-bearing deposits during the quarter. This enabled Hilltop Holdings Inc. to produce stable net interest income, despite modest compression to the overall balance in earning assets. The broker-dealer recognized a strong quarter from the wealth and public finance business units while weathering a challenging fixed income market. As will be discussed further, the mortgage origination segment continues to be weighed down by ongoing constraints in the mortgage market, which did not show signs of subsiding during the first quarter. However, Hilltop Holdings Inc.'s robust capital and liquidity position did enable us to further compound tangible book value per share while returning capital to our stockholders. During the quarter, PlainsCapital Bank generated $40 million pretax income on $13 billion of average assets, representing a return on average assets of 0.96%. Average loans at the bank remained relatively stable in the quarter, as construction loans and non-owner occupied CRE loans increased in balance, but this was offset by a decline in C&I lending. The bank continued to see strong development in its loan production pipeline as demand from core customers across our markets remains healthy. Average total deposit balances at the bank decreased during the quarter primarily due to expected seasonal outflows and select large balance customers repositioning their excess liquidity. However, the trend of strong deposit growth did continue on a year-over-year basis as average core deposits at the bank increased by nearly $300 million. Results in the quarter at the bank included a $9 million provision for credit losses. This expense was primarily due to negative risk rating migration within the portfolio, as was partially offset by an improvement in economic conditions within the quarter. Will is going to provide further commentary on credit in his prepared remarks. The bank realized a one basis point compression in net interest margin from the fourth quarter to 2.97%. This relatively stable margin was primarily driven by a continued decline in the cost of interest-bearing deposits, alongside the repricing of longer-duration earning assets into today's relatively higher interest rate environment. Results at the bank did include a one-time insurance recovery that reduced noninterest expense by $6.5 million. Overall, the bank continued to show improvement in deposit price and loan pipeline growth, which illustrate the quality relationship-based banking model at PlainsCapital Bank. Moving to PrimeLending, where the company reported a pretax loss of $8 million during the first quarter. As interest rates remain elevated, and affordability challenges to homebuyers persist across the country, origination volumes remain under pressure. PrimeLending did experience a modest increase in origination volume on a year-over-year basis to $1.7 billion during the seasonally slower first quarter home buying period. Gain on sale of loans to third parties, including broker fees, increased by six basis points when compared to the fourth quarter. However, PrimeLending experienced a continued downward trend in mortgage origination fees and other related income, which decreased by five basis points quarter over quarter and 29 basis points year over year. Management at PrimeLending continues to actively monitor operating expenses and has reduced the fixed expense base by 12% year over year. However, as interest rates remain volatile and the mortgage origination market continues to present headwinds towards increased volumes, we will look to further evaluate the fixed cost structure of PrimeLending to ensure efficient operations that align with the current environment. In the fourth quarter, Hilltop Securities generated pretax income of $9 million on net revenue of $109 million for a pretax margin of 8%. Speaking to the business lines at Hilltop Securities, Public Finance Services produced a 34% year-over-year increase in net revenues on an increase in offerings of 11%. Structured finance net revenues declined $8 million from the first quarter of last year. This decline was driven by a comparatively strong Q2 2024 that was the result of mortgage-related business activity within a single state's market. In wealth management, net revenues increased by $1 million compared to last year's first quarter as an increase in retail and wealth production fees more than offset a modest decline in sweep revenue from the firm's FDIC sweep program. Finally, the fixed income business continued to be under pressure, as demand from middle-market buyers remained subdued, and demand for municipal bond products was muted during the quarter. The business unit had a decline in net revenue of $7 million when compared to the first quarter of 2024. Overall, Hilltop Securities realized strong results in the quarter from the public finance and wealth management business lines but experienced a material decline in net revenues with the fixed income services line of business. While the broker-dealer's net revenues declined 7% year over year, pretax income declined by 51% due to the mix shift in net revenues between the business lines. During the quarter, Hilltop Holdings Inc. recognized two nonrecurring items that impacted consolidated results. First, we announced in January our merchant bank realized a preliminary gain on the sale from its investment in Mosier Energy Solutions. This resulted in a positive impact on net income of $23.6 million or $0.37 per diluted share. Our merchant bank team has worked hard over the past eight years cultivating a portfolio of attractive investments and building a strong track record. This business is institutional to Hilltop Holdings Inc., and we plan to continue to invest in the platform. Second, as I previously discussed when overviewing the bank results for the quarter, the bank recognized an insurance recovery that resulted in a positive impact on net income of $5 million or $0.08 per diluted share. Moving to page four, Hilltop Holdings Inc. maintains strong capital levels with a common equity tier one capital ratio of 21%. Additionally, our tangible book value per share increased from year-end 2024 by $0.53 to $30 a share. During the period, we returned $12 million to stockholders through dividends and repurchased $33 million in shares. Thank you. Will now turn the presentation over to Will to discuss our financials in more detail.
Will Furr: Thank you, Jeremy. I'll start on page five. As Jeremy discussed, the first quarter of 2025, Hilltop Holdings Inc. reported consolidated income attributable to common stockholders of $42.1 million equating to $0.65 per diluted share. Related to the transaction that we referenced in our fourth quarter call, Hilltop Merchant Banking Group did close on the sale of its ownership stake in the operations of Mosier Acquisition Inc. on February 24, 2025. As a result of this transaction, Hilltop Holdings Inc. recorded a preliminary gain during the first quarter of $23.6 million equating to $0.37 per diluted share. The gain is preliminary as Hilltop Holdings Inc. continues to own equity shares from the purchaser and those shares were not divested during the first quarter. In addition, we do expect that there will be customary closing final settlement-related items to be recorded during future quarters. Further, during the first quarter, Hilltop Holdings Inc. did receive an insurance recovery that equated to $6.5 million. This recovery was reported in professional services noninterest expense and impacted the quarter results by $5 million equating to $0.08 per diluted share.
Michael Rose: Lastly, while not a first-quarter item, Hilltop Holdings Inc. received a $9.5 million settlement related to prior legal matters in early April. This will be recorded in the second quarter's results and will be disclosed as a subsequent event in the first quarter's Form 10-Q filing. I'm turning to page six. During the first quarter, Hilltop Holdings Inc. increased the allowance for credit losses by $5 million to $106 million. This increase is largely attributable to the negative migration of certain credit relationships in the portfolio. The most significant downgrade related to an office property that experienced a significant drop in occupancy as one of its key tenants was acquired and the acquiring company did not renew its prior lease in the subject property. In addition, the increase reflects more modest increases in allowance across a number of credits which are not concentrated in a particular industry or geography. Somewhat offsetting the impact of downgrades in the portfolio, the economic conditions forecasted in Moody's S5 slower trend growth scenario, which Hilltop Holdings Inc. continues to utilize in CECL modeling during the quarter, offer a modest improvement versus the December 31 scenario. As a result of this change in the economic outlook, the allowance for credit losses related to economic conditions declined by $1.1 million. As of March 31, the allowance for credit losses of $106 million yields an ACL to total loan HFI ratio of 1.33%. As we've stated since the introduction of CECL, we continue to believe that the allowance for credit losses could be volatile and the future changes in the allowance will be driven by net loan growth in the portfolio, credit migration trends, and changes to the macroeconomic outlook over time. Given the current uncertainties regarding inflation, tariffs, and potential reciprocal tariffs, interest rates, the future outlook for GDP growth, and unemployment rates, volatility could be heightened over the coming quarters. Moving to page seven. Net interest income in the first quarter equated to $105 million, including $1 million purchase accounting accretion. Versus the prior year period, net interest income increased by $1.5 million or 1.4% driven by our efforts to lower deposit costs as short-term market rates have declined. While our focus on growing deposits remains paramount to our go-to-market approach, our team at the bank was able to achieve an interest-bearing deposit beta from the current hundred basis points of reduction by the Federal Reserve of 64%. While we are pleased with this outcome, we recognize that the competitive intensity and pricing pressures could escalate in the future, and as such, we're not changing our model through the cycle deposit beta outlook of 55%. In addition to the improved interest-bearing deposit beta outcome, the yield curve has steepened since last year, and that benefited NII during the quarter specifically versus the prior year period as higher yields on retained mortgages, certain MBS securities, and mortgage loans held for sale remain somewhat elevated while shorter-term rates declined. Our estimates for future NII and NIM currently reflect our expectation that the Fed will execute two additional rate reductions in 2025. Turning to page eight. First-quarter average total deposits were approximately $10.9 billion and have declined by approximately $89 million or 1% versus the fourth quarter of 2024. On an ending balance basis, deposits declined $233 million to $10.8 billion from the prior quarter ending balance level. The decline in deposit balances reflects the impact of Hilltop Holdings Inc.'s payoff of $150 million of maturing senior debt during the first quarter, coupled with the movement of certain customer funds from deposits into treasury and other investment products in our private banking group. During the quarter, total interest-bearing deposit costs declined, with a blended rate equating to 297 basis points as of March 31, down from 327 basis points at December 31. Moving to page nine. Total noninterest income for the first quarter of 2025 equated to $213.3 million. This reflects approximately $42 million related to the previously mentioned Mosier transaction. First-quarter mortgage-related income and fees increased by $1 million versus the first quarter of 2024, reflecting stable year-over-year origination volumes. While the mortgage market had begun to somewhat stabilize during the fourth quarter, the beginning of the first quarter, volatility created by concerns over tariffs and variability in overall market rates has impacted demand in the later part of the first quarter. As a result of the demand trends we've seen during recent weeks, we have reduced our mortgage production volume expectation to $8 to $9.5 billion for the full year 2025. In addition, we expect a gain on sale margin will remain relatively stable at the current levels given the environmental challenges. In addition, securities and investment advisory revenues increased $10 million versus the prior year period driven primarily by improved activity in public finance and wealth management. The growth seen in these business segments was somewhat offset by ongoing challenges in fixed income trading. Growth in other non-interest income equated to $21 million was largely driven by the sale of Mosier. However, the impact of this transaction was somewhat offset by lower revenues in the structured finance business at Hilltop Securities. It remains important to recognize that both the fixed income services and structured finance businesses at Hilltop Securities could be volatile from period to period as they are impacted by interest rates, overall market liquidity, production trends, which may include any additional subsidies provided by states to support their down payment assistance programs. Turning to page 10. Noninterest expenses remained relatively stable from the same period in the prior year. As is noted next to the table in the upper right of the page, Mosier's sale impacted noninterest expenses by $11.3 million, which was somewhat offset by the impact of the legal recovery, which equated to $6.5 million, and was reported in professional services. Looking forward, we expect expenses other than variable compensation will remain relatively stable as the ongoing focused efforts related to streamlining our operations and improving productivity continue to support lower headcount and improve throughput across our franchise, helping to offset the ongoing inflationary pressures that persist in the market. Moving to page 11. First-quarter average HFI loans equated to $7.9 billion, which was stable with fourth-quarter levels. During the fourth quarter and carrying into the first quarter of 2025, we've seen improving activity across our commercial loan pipelines. Growth in the pipeline has been geographically dispersed but centered in commercial real estate lending. Further, while the most recent pipeline trends have been encouraging, we do expect that volatility resulting from tariffs and the potential for reciprocal tariffs could cause clients to pause or reevaluate projects over the coming months and quarters. This expectation is captured in our current loan guidance representing growth of zero to 3% for full-year average loans. As noted in prior quarters, we continue to retain mortgages originated by PrimeLending, and we expect to continue to do so in the coming quarters. The current expectation is that we will retain between $10 and $30 million per month. Turning to page 12. First quarter's results include $4.3 million in net charge-offs, which did reduce nonperforming assets modestly from the year-end 2024 levels. Net charge-offs in the quarter represented a set of credits across multiple industries, including auto note financing, single-family construction, and non-owner occupied real estate. Special mention loans depicted in the upper left chart on the page did increase during the quarter, largely driven by the downgraded credits I discussed earlier in my comments. Regarding credit overall, we do not see any prevailing trends that cause undue concern in our portfolio. However, we continue to monitor all aspects of the portfolio very closely. As higher interest rates, potentially lower utilization rates in certain segments of commercial real estate, and an expected slowdown in economic activity, have had and may continue to have a negative impact on our clients and our portfolio. Moving to page 13. As we move through the second quarter of 2025, there continues to be a lot of uncertainty in the market regarding interest rates, inflation, and the overall health of the economy. We're pleased with the current positioning of our balance sheet and the ongoing work that our team is executing each day to push our company forward through what has been a challenging operating environment. As is noted in the table, our outlook for 2025 reflects our current assessment of the economy and the markets where we participate.
Michael Rose: Further, as the market changes and we adjust our business to respond, we will provide updates to our outlook on future quarterly calls. Operator, that concludes our prepared comments, and we'll turn the call back to you for the Q&A section of the call.
Operator: Thank you. Ladies and gentlemen, we'll now begin the question and answer session. You will then hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the two. And if you are using a speakerphone, please lift the handset before pressing any key. One moment please for your first question. And your first question comes from Woody Lay from KBW. Please go ahead.
Woody Lay: Hey, good morning guys.
Michael Rose: Good morning.
Woody Lay: Wanted to start on criticized loans with a couple of follow-ups. There. How big was the office credit that was downgraded in the quarter? And then it also looks like classified improved some quarter over quarter. What drove the improvement there? Yeah. So the office credit we referenced was about $18 million. An $18 million credit. Some of the positive migration classifieds were just a series of kind of smaller credits that migrated. Nothing of consequence there.
Michael Rose: Got it. I appreciate that.
Woody Lay: And then maybe shifting over to deposit costs. I mean, it was a really strong quarter with deposit costs moving lower. Do you think there's capacity to move that lower? And correspondingly, do you think the NIM can see some improvement? You know, I think the things done to this point have been very good, and I feel like we've taken advantage of the hundred basis points reduction that we've seen from the Federal Reserve. We're certainly looking across the portfolio and every opportunity to minimize overall deposit cost. But, again, that is being balanced with the focus on continuing to grow customer deposits, continuing to expand our relationships. So we're, you know, we're doing both. Obviously, if the Fed were to move additionally from here, we'd expect to see deposit rates go lower, but I would expect them to trend modestly lower from a deposit interest-bearing deposit rate perspective from here. But, again, the largest portion of the work from the first hundred basis points has been completed. As that relates to NIM, I think NIM and NII, you know, we've been very pleased that NII has remained reasonably stable over the last twelve months, and that reflects the strong work the team has done from a deposit beta perspective, but it also reflects the fact the yield curve has kind of been naturally upward sloping shape today, and it didn't have that for a long window of time. So that upward sloping curve does give us some confidence that NII has stabilized at these levels, albeit that's somewhat market dependent and we'll continue to watch that. But we do feel comfortable today with a view that says NII stabilized at these levels. Yep. And your NII guide of up zero to 2% Do you have the deposit beta assumption you're using for that guide?
Michael Rose: 5%. Alright. Thanks for taking my questions.
Operator: Thank you. And your next question comes from Andrew Garcissa from Piper Sandler. Please go ahead.
Andrew Garcissa: Hey. Good morning, everybody.
Michael Rose: Good morning.
Jeremy Ford: You know the seasonal commercial outflows of deposits in 1Q '25, should we expect any reversal of that in 2Q '25? Well, there's the
Michael Rose: so this is Will. Few things. One, we do we always expect a seasonal outflow as you noted in Q1 just based on kind of activity and customer activity we see in the fourth quarter. That said, we do also see a seasonal impact related to taxes tax season at April 15, so that carries into the second quarter. And then after that, April 15 window has passed, we generally start to see core customer deposits start to build and rebuild through the balance of the year. So while the first quarter clearly has a normal seasonal flow, that carries into, I'd say, tax season. From there, we expect to see again, growth from a customer deposit perspective as both you get some rebuilding, but you also get client acquisition and expansion that goes on through the balance of the year.
Jeremy Ford: Got it. That makes sense. Appreciate that. And then with TBA lock volumes up quarter over quarter, are you seeing any early signs that could support a rebound in structured finance this quarter?
Michael Rose: You know, I think, I think with TBA, what has been you know, a key factor in that has been some support that certain states have provided to their down payment assistance program over time. We generally hear about that, that incremental support as the state budgets start to be deployed generally in the middle of the year. So right now, that would be the most significant driver of incremental activity. Otherwise, the team continues to work to support customers every day with their down payment assistance programs. But again, the most significant driver of uptick would be additional support, which we are we'll wait and see how those states put forth their budgets for 2025-2026. Got it. Thank you for taking my questions and congrats on the quarter.
Operator: Thank you. And your next question comes from Tim Mitchell from Raymond James. Please go ahead.
Tim Mitchell: Hey. Good morning, everyone. Morning. Morning. Morning. Morning. Two questions kinda on fees. First, just a follow-up on the Hilltop Securities. Just given the volatility we've seen in the bond markets recently, just how your businesses were impacted by that and, you know, if we continue to see ongoing volatility, you know, what are your expectations? And then secondly, just know, some of your comments around the mortgage business. And rightsizing that to the environment. We've also just seen some other banks in your market leaning more into mortgage. So I was just curious kind of the way you think about that, kind of as we look ahead and, you know, if rates do come down, you know, and the market starts to improve, just your thoughts on positioning and whatnot.
Michael Rose: This is Will. I'll take that in the order you provided it there. So from a volatility perspective, certainly, on the day of the tariff announcements, the market started to move pretty aggressively. Rates started to adjust. I'd say, most impacted was our municipal portfolio, which was, you know, I'd say, reasonably well documented by a number of market participants publicly whether that be public journals or otherwise. And so we've managed through that. It certainly had an impact in the April trading period, and we're continuing to work our way back from an overall trading perspective there. But that volatility and valuation impact certainly impacted the trading results in the first part of the second quarter. So a challenging environment in the first quarter persisted from a fixed income, but related to the overall variability and volatility created from tariffs that really took place in the first couple of weeks of April. As it relates to mortgage, I'll start there. You know, again, we've what we've continued to say is we have seen a slow and steadying improvement in the overall business over time. That seems to have taken based on what we're seeing in the last couple of weeks of March and the first couple of weeks of April. A little bit of a step back, I think, also related to some of the variability coming from tariff announcements and the like. As well as interest rates that moved around, you know, the ten-year rallied under four and then moved back to four fifty. So there was a lot of activity there for customers to digest. Our view is that mortgage will continue to heal at a slow pace on a go-forward basis while variability here in the short run has been apparent and impacted activity. We do believe it's generally on a trajectory of modest but slow improvement. And to the comments we've made, it's our objective to make sure we continue to work to rightsize the business for what we think the next twelve to eighteen months will bring in that business. Last thing I'll say is we are aggressively pursuing growing our loan officer pool or those folks that are out originating loans. And so we are on offense in that regard, trying to attract new talent to our platform. We're also being cautious around how those expenses are incurred. To ensure that, again, we rightsize the business for what we believe the market to be.
Tim Mitchell: Got it. Thanks for the color. Then on the loan growth outlook, which is reduced and that makes sense given all the uncertainty and whatnot. Just can you talk a little bit more about your pipelines, what you're hearing from customers? And then you know, I think obviously, the monthly mortgage retention was is higher this year versus last year just, you know, if loan growth is needed, just how you think, you maybe lower versus higher end of that $10 to $30 million range as we go through the year?
Michael Rose: I mean, I think that as far as pipeline and customer activity, we've still seen that be relatively strong. And we've had a couple quarters of good fundings. So feel good about our clients and what we're doing. At the same time, we see our pull-through rates are challenged, and it's a very competitive environment. But, you know, we're really committed to trying to restore balanced growth at the bank. And, Willie, you can speak to the interplay with the prime purchases.
Michael Rose: Yes. So mortgage retention, we've got a $10 to $30 million just as a perspective we have about $10 million of runoff per month. So if we retain 10, the balance would stay reasonably flat. Our expectation is we'll retain closer to the higher end of that $20 to $30 million per month. And so you will see some modest growth in that one to four family portfolio certainly for the next couple of quarters. That's our expectation.
Tim Mitchell: Great. I just sneak one last one in on the buyback, which you guys are leaning into this quarter, obviously. Assuming we don't see a significant rebound in the market, is it fair to assume that you'll continue repurchasing stock?
Michael Rose: I mean, I think, we have a $100 million authorization. We bought back 33, so we have $67 million available, and we're certainly evaluating where we trade and value and so it's certainly something that we're considering.
Tim Mitchell: Got it. Thanks for taking my questions.
Michael Rose: Thank you.
Operator: And your last question comes from Jordan Ghent from Stephens. Please go ahead.
Jordan Ghent: Hey. Good morning, guys. Good morning. I just had a question on expenses. So it looks like 1Q, you had the benefit from the insurance recovery. Now guidance, proved a bit going to flat to 2% growth. How much of that improvement was from the insurance recovery?
Michael Rose: Actually, not a lot. I mean, obviously, that certainly benefits, but, practically speaking, I think if you look at our presentation, you can see that our expenses excluding kind of variable comp or other than variable compensation have been reasonably stable. The team has done a lot of hard work from an optimization perspective and an efficiency perspective, both at our mortgage company, but across the organization to keep expenses stable. And so that continues to be our objective, and our guidance reflects that. But it's a lot of work across the organization. To continue to kind of offset what we've seen in inflation and otherwise operating expense growth.
Jordan Ghent: Got it. And then just kind of following up on that. I know you've said that you expect expenses to be stable. Is there, like, kind of a run rate you could give for the fixed side of it?
Michael Rose: I think yeah. I think if you look at page 10 of our chart, you can see there we've been in the $181 to $190 range for, you know, the better part of four quarters. If you adjust the Q1 number there for the tax or excuse me, for the legal benefit, you'll see that as well. So that would give you a reasonable perspective of kind of where we expect to operate going forward.
Jordan Ghent: Got it. Thanks for taking my questions.
Michael Rose: Thank you.
Operator: And ladies and gentlemen, this does conclude your conference call for today. I thank you very much for your participation. You may disconnect.